Operator: Greetings. Welcome to NESR Reports Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Blake Gendron, Vice President of Investor Relations. Thank you. You may begin.
Blake Gendron: Thank you, Sherry. Hello, and welcome to NESR's Fourth Quarter 2025 Earnings Call. With me today are Sherif Foda, Chairman and Chief Executive Officer of NESR; and Stefan Angeli, Chief Financial Officer. On today's call, we will comment on our fourth quarter results and overall performance. After our prepared remarks, we will open up the call to questions. Before we begin, I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. I, therefore, refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our press release, which is on our website. Finally, feel free to contact us after the call with any additional questions you may have. Our Investor Relations contact information is available on our website. Now I'll hand the call over to Sherif.
Sherif Foda: Thanks, Blake. Ladies and gentlemen, good morning, and thank you for participating in this conference call. I'm pleased to report that we ended a tremendous '25 with even stronger-than-expected results in the fourth quarter. Most importantly, we safely and efficiently kicked off the largest unconventional frac program in sector history, effectively managed our costs and achieved yet another record high for revenue and free cash flow. These results are a testament to our hard-working teams in the field, their dedication and commitment. Thanks to our customers for their trust and unwavering support in the entire region. Reaching this stage of company growth was NES's (sic) [ NESR's ] original national champion vision, and we now have our sights set on even much greater heights. On today's call, I'll start with an update on the Middle East macro and activity ties to key megatrends related to global energy, technology and geopolitics. Alongside the macro, I'll go into NESR's specific drivers by country to outline key takeaways from an extremely busy industry conference season to start the year. This will hopefully clarify the ample growth runway that we have beyond our original $2 billion target. First, the macro. As previously discussed, overall, we see a baseline of steady activity growth across the MENA region, driven by oil capacity expansion and strategic domestic gas development. Additionally, what changed is the increased appetite of the IOC to enter into various MOU and exploration awards that are unprecedented in some countries like Iraq, Algeria, Libya, Kuwait and even Syria. Countries like Kuwait continue to lead with robust investment programs, but perhaps the most notable aspect of the current cycle is that every single one of our anchor countries is either growing steadily or is stable at all-time high. Considering the negative consensus view around global growth and commodity prices, these trends are a stark reminder that there is truly a solid floor of activity on which the MENA service sector can continue to build with any upside to the macro or commodity outlook. There is no other region in the world like this one for persistent upstream growth, capacity expansion and strategic gas development. MENA trends are largely decoupled from oil and gas prices and NESR (sic) [ NESR ] is taking full advantage of it. Talking about Kuwait in more detail. We recently conducted our Board meeting following the impressive successful COGS Oil and Gas Show in Kuwait City. Our goal was to demonstrate our commitment to the highest level in the country, show our Board firsthand the super cycle that is now entering its second year in addition to the unique opportunities for NESR. As you recall, we started in Kuwait from nothing just few years ago, and it will soon become our second largest country behind Saudi. During COGS, country leadership reiterated their commitment of $8 billion to $10 billion per year in upstream spending through 2030 to expand oil capacity by an additional 1 million barrel to a total of 4 million barrels per day by 2035. Not only does this lock in continued growth for years to come, but also implies an even higher activity trajectory than previously anticipated. Additionally, for the first time, as publicly announced, His Highness, the Prime Minister, presided over several agreements and MOUs signing during COGS with IOC, the likes of Total, BP, Shell and several other international companies. The program encompassed both oil and gas, span land and offshore and will truly launch an activity renaissance in a country that has already achieved impressive level of growth over the past year. For NESR, there is a huge upside in Kuwait with all of our recent in-country investment, high-level engagement with customer leadership and with a proven track record of operational scale and open technology development. The evolution NESR to Kuwait over the coming years will dovetail perfectly with the transformation of the Kuwait energy sector. We previously announced our Ahmadi Innovation Valley or AIV initiative, which will give NESR first-ever access to technology development in Kuwait. This project will supplement and enhance our core services, which are growing on the back of recent contract wins and upcoming tenders and will also drive new frontier in the areas of decarbonization, water and critical minerals. Considering all of the plans and partnership and ambitions announced at COGS, our leadership in AIV could not be more perfectly timed. In Abu Dhabi, activity continues to march above all-time high. As publicly announced, in late '25, ADNOC approved a sweeping $150 billion oil and gas investment plan for the '26-2030 time frame, which should keep the growth trajectory intact for years to come. North Africa remains a key growth pillar led by a surge of activity in Libya, which headlined its recent summit in AAA with dual announcement with ConocoPhillips and Total. This collaboration captured $20 billion in investment over 25 years, an unprecedented commitment not just in terms of magnitude, but also longevity as country leadership has truly embraced foreign investment into its world-renowned resource base. Additional blockbuster bid from Libya last week are the new exploration block awards to Chevron, Repsol, MOL, among others. While activity over the past year has already increased political cohesion in Libya and its highly successful bid round provide a road map to increase oil capacity from 1.4 million barrels per day today to 1.6 million by year-end and 2 million by 2030. Libya is yet another core NESR country that is planning over the multiyear horizon. Based on our recent meeting with Libya NOC and country leadership, NESR will play a key role in this visionary capacity expansion. Elsewhere in the region, we see stable, good activity levels in Algeria, Oman, Iraq and Egypt. We see some strategic discussion that could supercharge the NESR story primarily through new contract wins and an improving oil outlook over the medium-term. Unsurprisingly, we've been as busy with recent tendering as we've been on the industry conference circuit. And no doubt, there is connection between the 2. Adding up the budgetary commitment from our 4 largest GCC countries implies nearly $300 billion in general upstream spending through 2030. While not all of that budget is pure services, it's worth noting that the budget only captured a portion of our anchor countries and does not include the wave of IOC spending that is coming with the shifting geopolitical landscape. Beyond Jafurah, there is still a multibillion -- opportunity for NESR, results from which could be announced soon. We are very excited and optimistic about NESR's position in these tenders, and our nimble operating model has proven effective in the face of fierce tender competition. These potential awards will keep NESR's growth engine running far beyond the time frame that most investors view our stock or sector. To conclude and before passing on to Stefan, I'd like to discuss what is the most anticipated topic of this call, which, of course, is the start-up of Jafurah frac project. As previously discussed, we initiated operation on time in early November and have worked seamlessly with our highly supportive Aramco partners to ramp operations safely and effectively. HSE and service quality remain our top priority in everything we do and especially in ramping a project with such a massive scale at Jafurah. All of our careful organization and planning of supply chain, logistic effort, which go all the way back to our initial frac in 2019, are paying off, and we are delivering stages as planned. Cost control across both procurement and operation is evident in the fourth quarter result, and there is much more optimization to achieve. Our entire process from securing suppliers, hiring crews, moving materials, implementing the best technology from the U.S. shale, maintaining best-in-class uptime and pumping hours, is on plan, even as we triple and aim to quadruple the footprint. Aramco is truly on another leadership level for world-class unconventional development, and we look forward to updating the market on future achievements in the quarters to come. With that, let me pass the call to Stefan to discuss our equally exciting results on the finance front.
Stefan Angeli: Thank you, Sherif. Good morning to those joining us from the United States, and good afternoon, or good evening to our participants across the Middle East, North Africa, Asia and Europe. We appreciate you taking the time to be with us today. I'm extremely pleased to provide an update on our financial results for the fourth quarter and full year ended December 31, 2025, and to share our perspectives on the outlook for 2026. Let's start with our fourth quarter 2025 performance. Our fourth quarter revenue was $398.3 million, an all-time high, representing an increase of 34.9% sequentially and 15.9% year-over-year. Sequential growth was driven primarily by the mobilization of the new Jafurah contract beginning November 1, along with strong activity increase in North Africa. On a year-over-year basis, revenue growth was supported by higher activity levels in Saudi Arabia, Kuwait, Iraq, Egypt and Libya. Adjusted EBITDA for the fourth quarter of 2025 was $84.4 million, representing a margin of 21.2%, broadly in line with the third quarter levels despite higher revenues generated from competitively priced contract wins. Margins remained stable due to strong cost discipline, improved operational execution across our portfolio and the continued benefit of our lean overhead structure. Adjusted EBITDA for the fourth quarter includes $24.1 million of total charges and credits impacting adjusted EBITDA, primarily related to 4 items: one, $7.1 million of current expected credit loss provisions, primarily in Oman, which the company still feels confident that it will collect; two, $8.1 million of impairment charges related to 2 small legacy technology investments impacted by global change in market focus on ESG in the last year; three, $4.7 million of contract mobilization-related restructuring costs, all related to our recent contract win and the deployment of that contract in Oman; four, $3.7 million of other write-offs with $3.1 million related to property, plant and equipment, particularly a provision recorded for a construction in-process prepayment in Saudi Arabia following a vendor bankruptcy. To reemphasize, these adjustments are predominantly onetime items, and we fully expect going forward charges and credits to be minimal. We do not expect any material contract mobilization-related restructuring costs in 2026. Interest expense for the fourth quarter of 2025 was $7.5 million, while income tax expense was $7.2 million. Adjusted diluted earnings per share for the fourth quarter of 2025 was $0.32. Full year 2025 revenue totaled $1.324 billion, up 1.7% year-over-year. Growth was supported by higher activity levels across Kuwait, Iraq, Abu Dhabi, Libya, Egypt and Algeria, partially offset by lower rig counts and contract transition in Saudi Arabia. Full year 2025 adjusted EBITDA was $281.4 million with margins of 21.3%, down approximately 250 basis points year-over-year, driven by country and segment mix in addition to certain contract transitions. Full year '25 interest expense was $32.5 million, down $7.4 million year-over-year, reflecting lower average debt levels. Full year '25 income tax expense was $9.3 million or $18.4 million as adjusted for a onetime tax provision release in Q3 '25. Adjusted diluted earnings per share for the full year of '25 was $0.81. Turning to cash flow and liquidity, which continues to be one of the clearest strengths of our model. Fourth quarter operating cash flow and free cash flow were exceptionally strong, driven by record fourth quarter collections and our lowest year-end DSO ever, reflecting disciplined working capital management across the organization. In line with our countercyclical investment strategy, we proactively deployed capital towards recent contract awards, accelerating operational ramp-up and rapidly positioning the business for the next phase of growth. For full year '25, cash flow from operations totaled $264.2 million, and free cash flow was $120.8 million, representing approximately 43% conversion from adjusted EBITDA, a level that underscores the quality of our earnings and the scalability of our platform. Total '25 capital expenditures, including both cash and vendor financed amounts were $150.9 million, fully aligned with our previously communicated plans. Importantly, for the third consecutive year, the majority of our free cash flow was directed towards reducing bank debt, further strengthening our balance sheet and positioning the company for its next phase of growth. As of December 31, '25, gross debt totaled $310 million and net debt was $185.3 million. Our net debt-to-adjusted EBITDA ratio stood at 0.66, well below our target threshold of 1x. On a trailing 12-month basis, return on capital employed or ROCE, was 10.2%, reflecting continued disciplined execution of our growth investment strategy and improving capital efficiency. Now looking ahead. For the first quarter of 2026, we expect more muted seasonality than previous years due to the continued ramp of recent contract awards and resilient growth in places like Kuwait and North Africa, mainly offsetting the impact of Ramadan falling completely in the first quarter. Similarly, margins are always the weakest in the first quarter and then are expected to increase sequentially through the balance of the year on robust top line growth and operating leverage. Overall, this year should be our best growth year ever, exceeding any previous indication. As we highlighted last quarter, we continue to see a path to exiting '26 at an annualized revenue run rate of approximately $2 billion, underpinned by our growing contract portfolio and consistent operational delivery. Full year '26 EBITDA margins are expected to remain broadly consistent with '25, supported by disciplined execution and cost control. As mentioned, we expect gradual sequential improvement in margins over the course of the year. For Q1 '26, interest expense is expected to be approximately $7.5 million with full year '26 interest expense in the $22 million range. We continue to expect full year effective tax rate in the 22.5% range, consistent with prior levels. For the full year '26, we expect capital expenditures of approximately $165 million, consistent with the expanding growth outlook we've outlined and supported by a strong pipeline of recently awarded contracts. While our customers appreciate our standout countercyclical growth investment, it's worth noting to our shareholders that our CapEx as a percentage of revenue will be down on a year-over-year basis. We expect cash flow from operations in '26 to remain strong. As a result, free cash flow for the full year '26 is projected to comprise approximately 35% to 40% conversion from adjusted EBITDA, representing sector-leading free cash flow growth. Now on the housekeeping topics. As you can see, the company has entered a new phase of growth. Our contract base is strong. Our balance sheet is solid. Leverage remains low and cash flow generation continues to be robust. As we highlighted on our previous call, we expect to provide update on our formal capital allocation and shareholder return framework during our next earnings call. The outlook across the Middle East and North Africa remains constructive. We expect the region to lead the next wave of activity growth, underpinned by continued investment in oil capacity and accelerating gas development across our core markets. NESR remains disciplined and focused on driving profitable growth, strengthening operational execution, expanding our technology capabilities, reducing leverage and optimizing working capital, all of which position the company to deliver sustainable long-term value. On behalf of management, I want to sincerely thank our employees for their commitment and exceptional performance in delivering these results and advancing our strategic priorities. I also extend our appreciation to our shareholders and banking partners for their ongoing confidence in our strategy and execution. NESR is entering 2026 from a position of strength, supported by strong operational momentum, a growing contract base and significant market opportunities ahead. Now I'll turn the call back to Sherif.
Sherif Foda: Thanks, Stefan. Let me conclude. The fourth quarter represents a significant milestone for the company not just in terms of hitting ambitious growth targets, but also in proving that we can do so profitably and with strong cash flow generation. For NESR, growth, returns and cash flow are not an either/or, but an all of the above feature of our strategic model that investors are increasingly recognizing, which is why earlier this year, we updated and rolled out our internal strategy to double the size of the company over the next couple of years. Jafurah and our existing business are not a ceiling, but rather a foundation upon which to win more, commercialize new technologies and evaluate strategic opportunities to enhance our regional position in MENA. This strategic flexibility start with the unmatched quality of the MENA region and our customers. The Middle East represents the lowest cost hydrocarbon production and its reestablishment as the swing producer in oil, combined with secular growth tailwinds in gas and the renewed entry of IOC give the current cycle multiyear durability. In our view, the first step to maximizing shareholder value is to align our strategy and countercyclical investment with this multiyear view of our NOC and IOC customers. We appreciate our long-term shareholders for their patience in letting this story play out, and we welcome all of the newcomers that recognize the multiyear runway in front of us. With that, we are ready to take your questions. Sherry, please open the floor for your question.
Operator: [Operator Instructions] Our first question is from David Anderson with Barclays.
John Anderson: Nice to hear another good quarter here, Sherif. I really want to ask you about Jafurah and kind of where we are today. Obviously, this is sort of setting the stage going forward. But in terms of Jafurah, I think you've talked about getting to about 500,000 horsepower of pressure pumping equipment there. Where are we today in that? And can you kind of walk us through kind of how you kind of get to kind of a full steady state of getting to that kind of $2 billion a year run rate? What needs to get there? Kind of where are we today in terms of the ramp-up at Jafurah?
Sherif Foda: Thanks, Dave. So we already -- as we tried to explain, we started on time, November 1st. We had the first fleet, second fleet, third fleet. And as we are ramping up in very close coordination with our customer for additional one or 2 fleet depending on their program. But we -- what we said before, we are the countercyclical style. We buy equipment ahead of what they need, right? So whenever they need something or if Aramco decides to add more fleets or to add more stages, we are ready. So if I answer your question more directly, I would say by Q2, I think we would be in that kind of steady state, and then we might add another fleet in Q3, Q4. And the run rate for our stages per quota should be seen very clearly in Q3.
John Anderson: So I was just curious about some of the supply chain concerns you see here. Maybe you just answered the question of just sort of staying in front of the customer of what they need. But that was -- one of the keys to you unlocking Jafurah initially was sort of solving some of these supply chain concerns. What are some of the things that you're really focused on right now? And kind of how do you navigate those?
Sherif Foda: Okay. I mean, obviously, I mean, without giving away some of the competitive stuff, right? But we planned it from very early beginning to ensure that we have local sand, adequate supplies of trees, plugs, et cetera, et cetera, wireline perforation, et cetera. So all this we aligned with partners, with people here from the U.S., some people locally, and we ensured that we play what we call frac on paper that all this is ready on time and without any block, if you like, on logistics or anything to be delivered on time. So all this is basically solved. And that's why I keep saying it's just we are at Aramco, our client, whenever they ask for additional stuff, we just require a couple of weeks to be ready. And that's how ready we are with all our partners. And obviously, with the cost control, so everybody play ball with that strategy that this is the new paradigm. There is a lot of stages to be executed and everybody is aligned with us. So I think I'm trying not to give away any of the competitive advantage that they can. But we solved all the issues of any kind of blockade from tariff, supply chain, logistics, whatever. And that's why we feel very confident that we will be able to deliver the stages that Aramco wants with the same profitability that we have in Q4.
John Anderson: It sounds like staying in front of the customer is really crucial here, kind of one of the steps. If I could just squeeze in one last question. You talked about your sites are on much higher activity levels. You talked about moving beyond the $2 billion target. Could you just expand a little bit more on that, maybe kind of the key areas where you think is going to feed into that greater than $2 billion number? You mentioned a number of tenders coming out in Saudi. I'm sure that's part of it. I know Kuwait. But if you could just sort of expand a little bit more on kind of your medium-term targets and your medium-term outlook, please?
Sherif Foda: So obviously, if I go back to people that are following the story from the beginning, we had originally said our target is to become $2 billion revenue, and we're very happy with that. Obviously, now it's done. So you cannot have a target that is like next -- very simple to achieve. So we looked at all the backlog, the contracts, where we want to be, the investment profile, and we see very easily we can double the company from where it is today in a couple of years. So with the contracts that we have tendering, today we tender almost $2 billion, $3 billion of tenders across the region. Most of it is submitted. Now we are waiting for the results from the customer. The majority of it is, I would say, outside Saudi, the lion's share. So all this -- when you don't have the business, then it becomes additional to us. If you have the contract and you are continuing, that's basically what we call must-have, which is basically you continue to have the same backlog that you have. And the additional work, which is the majority of the tenders that we bid for, is we are waiting on the results. And as I said, I'm extremely optimistic that we're going to win more than our fair share, and that's going to make sure that we're going to reach the double the company size in a couple of years.
Operator: Our next question is from Saurabh Pant with Bank of America.
Saurabh Pant: Just a quick follow-up, Sherif, if you don't mind on Jafurah, like Dave was asking. I think in your prepared remarks, you were talking about much more optimization to be achieved. I know you can't disclose everything that you're doing. But to the extent you can, Sherif, just maybe talk to what you are doing as the project ramps up, where are those incremental efficiencies optimization going to come from? And how should we think about just the margin profile on Jafurah as it fully ramps up, normalizes relative to the rest of your business? Just some color on that?
Sherif Foda: Thanks. So look, I mean, if you look at the evolution of -- the best example, I think, for people to understand is the Permian and the U.S. shale and what happened on some of the cost initiatives and some happen as well with some of the technology advancements. So today, we have a lot of that already in country. But we know that there are more to be done. I'm trying to answer without, again, giving away a lot of what we are doing from our competitive edge. But we believe that we can do more stages per day, and we believe as well, we can optimize some of what I call the rig up, some of the perforation, some of the trees, some of the -- between stages, et cetera, et cetera. And if we do that, that means that you can get another 20% efficiency and which is -- basically will definitely have an impact on our margins, right? So what we want to have, what I call a cruise control mechanism on that Jafurah, well, you have this huge infrastructure today. We are building our new base in SPARK, and this will have a lot of bells and whistles. I don't want to get with buzzwords, but we're going to have a lot of AI into the maintenance, into the reliability, changing engines. Once you have that scale and you know you are going to do 80,000 to 100,000 stages over 5 years, and you have inside the Jafurah in the facility itself, that state-of-the-art facility, all our partners as well, we're going to host them into that facility. And that basically gives -- if you are in the U.S. and you know that you have a 3, 4 years contract, you can develop some of the leading reliability and efficiency and maintenance to ensure that you can shave some of these cost items. And if you do that, eventually, it will come to your margins. So we are at the beginning of that journey. I think we will have our facility ready by Q3. And once we have our full fleets running all the time, then you start to have this cruise control, and that will eventually do the margins as well.
Saurabh Pant: Interesting. Okay. No, it's [ really ] fair. And then the second one for me, Sherif, is on the Kuwait side of things. I know you talked about that in your prepared remarks and COGS, it looks like it was a great success for the industry as a whole. The $8 billion to $10 billion upstream spending that you mentioned, obviously, is the official target. How critical is that? I know this was a country that was pretty small for you. You just entered the country, but now it's set to become the second largest. How quickly can Kuwait ramp up for NESR in particular? And then the tenders we are talking about, what's the line of sight to those being awarded? And how quickly can that move the needle for NESR?
Sherif Foda: So the spend is already done, right? I mean this is something that is -- the leadership in KPC and KOC announced and they are doing it. I mean there is no more wait and see. The rigs are there. We are above 200 rigs in Kuwait today, and the activity is running. Now for us, why it's so exciting because our scale -- we were nothing. We are okay now, but we can easily double the size of our business in Kuwait. Now the key in Kuwait, you need to win contracts because you cannot work without contract. So we won already a couple of contracts that we announced. We tendered and we are waiting for the results to be announced. And we are tendering another 2. Everything will be awarded this year. So some of it will be awarded in, I would say, end of Q1, some will be in Q2 and some will be Q3. So everything will be known in 2026, and this contract will be for 5 to 7 years. So as soon as you have the contract, and again, depending on how fast you mobilize, and you know our style, we -- I keep calling it countercyclical, meaning that we kind of prepare equipment before we know if we feel that we're going to win. So therefore, we don't have to wait 6 to 8 months to mobilize. We mobilize in a much faster time frame.
Saurabh Pant: Got it. Right. Okay. So it sounds like it's going to be a key part of your doubling ambition, right, which makes sense. Okay, we'll stay tuned on that.
Operator: Our next question is from Josh Silverstein with UBS.
Joshua Silverstein: It's clear there's a lot of growth potential for NESR across the region. Can you talk about what level of investments you might need to make to support these higher activity levels? You mentioned what the CapEx would be this year, but does this have to keep ramping going forward? Are there new technologies you have to develop? And maybe how do acquisitions play into the strategy?
Sherif Foda: So look, I mean, CapEx, as we planned it, is we have, as Stefan mentioned, detailed, $150 million, $180 million CapEx time frame. So that's what we plan. And I think we're going to be in that -- within that range over the next couple of years, right? So if we win like much more than what we even think we're going to win, we might get this to $200 million, let's say, right? So we are very confident that the growth story, we can fuel it with taking full advantage of what's happening in the world, right? So as we did with the frac, you can buy equipment at much lower price, you can ship the stuff. You can -- we capitalize on our local presence and making sure that we have the lowest cost equipment and supplies. On the other part of your question?
Stefan Angeli: The small investment?
Sherif Foda: The small investment. This is a key. And I think what we do and our philosophy since we formed the company is we have the partnership with well-established companies. And we have the VC style, which is basically an equivalent to our, let's say, our R&D, right? So the way we like to do it is we look at all the technology that exists and a startup with a very bright and brilliant people, and we become a shareholder. We take piece of plate on the board. We -- sometimes we direct how to invest and how to do things. And then we commercialize those equipment or those tools, right? So part of our doubling the company, I think, it's mainly contract wins, is to get to like the $3 billion kind of target ambition, then definitely, like the ROYA platform has to work, which is our direction drilling, our NEDA portfolio, which is a lot of the decarbonization, has to work. We have to unlock it. We have to get some big projects. And all this is something that we have worked very hardly on. And as soon as we commercialize, we're going to announce that. And definitely, the pie -- if you get the piece of the pie, it's huge. And direction drilling today is $2 billion. We have almost nothing. So if you get a piece of that, that adds to your growth story.
Joshua Silverstein: Got it. And then I know you provide some additional balance sheet details in the next quarter, but clearly, net debt continues to be worked down and now below $200 million. What's the right level of leverage for the company? And as you're potentially thinking about maybe a shift in some free cash flow allocation to shareholder returns, thoughts on preference of buybacks versus dividends?
Stefan Angeli: So our stated goal is 1. So I would -- from our perspective, having 1 or less is probably the right leverage, right? Right now, we're way below the 1, right? We said last quarter, we're doing a plan right now to work out what the best returns are for shareholder, and we'll announce it next quarter. But everything is on the table, right, dividends, stock buybacks, et cetera, et cetera, right? But we'll announce this formally next quarter in the earnings call.
Operator: Our next question is from Derek Podhaizer with Piper Sandler.
Derek Podhaizer: Appreciate all the details on Jafurah, obviously, very exciting. But maybe, Sherif, if you could take some time to provide some color just around the state of the union in Saudi, maybe outside of Jafurah, just more of your legacy business, maybe some of the growth drivers there or the return to work that we've been hearing from a lot of your peers over the last couple of weeks? Just maybe some thoughts and color around how we can think about the shape of 2026 in Saudi ex Jafurah?
Sherif Foda: Yes. I mean I think the commentary from our friends and our partners or our competitors, if you like, our peers, is all spot on, right? So Saudi is ramping up activity. So whatever the trough was Q4 '25 and now the Aramco is adding rigs, the -- all -- I'm sure you hear this from all the rig contractors. There is a lot of bidding and activity is ramping up. And we will take our share basically based on that market share. So I think the -- Aramco is going to definitely provide some more color and maybe their earning. But at the end of the day, rigs are ramping up. Rigs are coming back. There is anywhere between people talking about from 40 to 60 rigs in 2026. And it's something that obviously our clients will decide how and when to do that. The rig availability is there. So I don't think there is the problem with people activating rigs. It's all going to be timing from Aramco side. And then obviously, there is a huge tender backlog on what we call LSTK, lump sum turnkey, that Aramco is doing. So that takes part as well on that growth story because there is bigger scope for that in the coming cycle on the '26. So we -- as people -- I'm sure a lot of people understand Saudi well, you have a multi-service companies and multi-contract and multi-segment. So let's say, if you are in cementing and your market share is 10%, they add another 5 rigs, you're expecting to get the same 10% on the additional rigs. You might get less, you might get more depending on your quality and your price, but that's more or less what it is. So we are forecasting the same market growth that whatever rig count increase will happen.
Derek Podhaizer: Great. Very helpful. I appreciate that. And then maybe, Stefan, it might be for you, but just hoping to put a [ finer ] point on the 1Q guidance and maybe the margin progression through the year. You talked about more muted seasonality. First quarter margins would represent a bottom and then work higher for the remainder of the year. It sounded like equally similar year-over-year. But if you could help put some guardrails around that, how we should think about the sequential contraction and then how we should think about the progression upwards as we move through the year?
Stefan Angeli: So we don't actually give formal guidance, right? But we've given a lot of directions as you've seen today, right? The Q4 to Q1 revenue decrease due to the normal seasonality, it will just be smaller -- we used the word muted, but smaller than the usual amount, right, and probably smaller than what our peers said in their calls, right? So that's where we stand on Q1, right? And then we said that the full year margins for us in '26 will be similar to '25, and it will just start at the lower level in Q1 and work its way up to a higher level at the end of the year. So if we were 21.3% for the full year, it'll probably be a percentage or so lower at the start and a percentage or so higher at the end.
Operator: Our next question is from Sherif Elmaghrabi with BTIG.
Sherif Elmaghrabi: So I think we've talked a lot about Saudi and Kuwait. So maybe a couple of questions on the rest of the market. There was not even $5 million of mobilization costs in Oman. Historically, that's one of your core countries. So I'm wondering if you're moving equipment out of the country and how you see opportunities there versus some of its neighbors?
Sherif Foda: Okay. You're talking about the structure costs. So without obviously going to -- this is a contract we won, which we never had. At the beginning of that contract, there was some legacy, the previous owner or the previous contract holder of that contract had some -- due to the, what I call the legality or system in Oman, you had to carry over that, take it over, it was part of the condition. And then basically, the stuff, most of it, you cannot use. So we just took a onetime write-off of all the stuff. So it is not really -- that's the majority of the cost. But the equipment, everything had to be taken from outside because that was a scope we never had. So it's a scope of business or a segment we never had in Oman over the -- and the company that we bought, the original company, the Gulf Energy in Oman, never had that contract either, right? So this is something -- if you look back and this company started in 1996 -- 2006, sorry, then it is something brand new for us. So this is a onetime, and that's it.
Sherif Elmaghrabi: Got it. And then you also mentioned Syria, which was different. Any markets outside of NESR's existing footprint that we could see the company tender into this year or even over the next few years?
Sherif Foda: Yes. Syria, I think you all saw the announcement with Chevron and other people and the Saudis. So something we monitor very closely. We are invited to go. Some of us, obviously, again, we pride ourselves of being regional champion or national champion. So we know Syria. We have more than 75 Syrian people working with us in different countries. So we are today in discussion with the leadership. And as soon as we feel it is secure from payment and how we are going to set up, I think it's going to set up first with some revitalization of the resort, which was originally people they might know that. It used to produce 500,000 to 600,000 barrels per day. Today it's less than 100,000. And usually, like Libya, all the -- when you start in a country where it had some production, but due to geopolitics, war, damages, et cetera, the start is kind of easy, meaning usually, you go and to these kind of brownfields, you fix the wells, you have workover, coiled tubing, slickline and try to fix the wells to try to get them back to produce. A lot of it is like a stolen cable damage wellhead. So depending on the scope, we will start. It's not something in our forecast, but it's something that definitely will be very good for us. And again, we know the country, we know the place. The sanction is lifted. So definitely, we will be with -- like with our peers entering Syria. Libya is very exciting. I mentioned it. Again, it's all public news. They signed with Total. They signed the $25 billion. The bid round last week was announced, very stellar IOCs, all signed the new EPSA or the new PSA agreement, which means there will be a lot of influx of Libya, I was there myself for 1 week with the minister, the NOC Chairman, et cetera. And there is a huge plan, and we are part of that plan. We are revitalizing our base. We have a frac fleet already there. We are doing a lot of work. And we -- for us to triple the company or the size of NESR in Libya is not a big deal, right? So it is something that we are planning to do and very close with the leadership there to ensure that we can get to the 2 million barrels, which is the target. If you add all this, each one has the capacity expansion. And I think that's part of something that people don't sometimes understand in the U.S. It is not they are doing this because they're going to produce this tomorrow, but they need to be ready with that capacity, so whenever it's needed, they can open and produce that. So Libya is not in the OPEC quota. So they are exonerated from it, so which means that they are going to go full on to try to get to the 2 million barrel.
Operator: Our next question is from Tate Sullivan with Maxim Group.
Tate Sullivan: Just a bigger picture question for Saudi Arabia. The Capital Market Authority recently eased restrictions on foreign investment. What are the pros and cons of this change for your business, please?
Sherif Foda: Well, absolutely nothing. I would say we are not on the Saudi Tadawul today. So the people that traded our stock, they trade on the NASDAQ, obviously. It opens up for a lot of the Saudi companies that you have a lot of foreigners that would love to buy into the market there. The market is extremely well versatile in Saudi. A lot of people want to participate on Tadawul. A lot of people want to buy into the Saudi companies easily. And definitely, as people see, the leadership in Saudi is like on another level on professionalism and scale. And they more and more invite a lot of people. You see BlackRock is always there. You see their FII. They're going to have an FII in Miami in March. So I mean, it's just a very open culture and structure with a lot of investment outside. So for us, it's -- I would say there is no difference. But we are extremely happy with our position in Saudi, and I think it's going to be more and more stronger and better.
Tate Sullivan: And then last one for me is you did in your prepared remarks, I heard you mentioned critical minerals and a lot of news out of Saudi Arabia in the area about developing critical minerals. Do you have opportunities in that sector? Can you expand from OFS to that sector? Can you comment on that a bit?
Sherif Foda: Thanks. We are already in it. So our NEDA, which is our decarbonization and application -- So during the Future Minerals Forum in -- by his Royal Highness in January, we were very proud that the lithium that was put on the display was NESR lithium. So the first lithium that was out was ours. So we're very happy that we were part of the pilot. So today, we run 2 pilots with Aramco, and we run more. We have plans to do more stuff on the bromine, magnesium, et cetera. Between Aramco and Maaden, which is the mega mineral company in Saudi, there is a lot of things going on. They announced this publicly, so I always go whatever publicly they announce. And we are very happy to take part of that journey. It's one of the pillars of the company since 4 years now. I am personally very excited about it. Obviously, ESG is taking kind of a backseat. However, the mineral part is extremely exciting. And as you mentioned, Saudi announced a huge ambition on lithium, critical minerals, and they do this with -- from aquifer and from produced water. So we are part of both. We have our water strategy that is working on the produced water. So just imagine if you get the produced water and you are able to extract not only water, but you extract all the minerals from it, it pays off from a lot of the energy that you need to produce that water. So it's a 3 birds with one stone actually, right? So super excited about it. And again, first mover in -- with -- in that business. So I still believe that this is going to be a huge part of our business going forward.
Operator: Our next question is from Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Sherif, can you share any color on the margin profile of the pipeline tender that you referenced? I think you said you have about $2 billion to $3 billion worth of tenders outstanding?
Sherif Foda: We don't obviously say that. I would say the best example is the company will remain with the same margin level that it is today.
Jeffrey Robertson: And is -- would most of those awards be 2027, 2028 and beyond? Or would you see -- would you expect to see much of an impact in 2026?
Sherif Foda: All the awards will be '26. So everything will be awarded this year. I -- So some of these contracts, I mean, as I said, most of those pipeline have been -- the price is already submitted. So we are waiting for the customer to announce the results. The customer in Middle East are -- like they are super professional, extremely, extremely thorough in their evaluation model. They look at the technical part. They put score on the technical, how you perform. They know the capacity of each company. So if somebody like what they call low ball the price or do something, not realistic, they kind of take this into account. They look at how many awards they're going to do. I mean all these contracts are multi-award, meaning, again, I repeat that. So you have a, let's say, cementing contract in UAE. So they're going to award 4 or 5 winners, and there is 15 bidders. So 4 of those will be taken. And based on the price, the ICV, which is in-country value, your score, your technical, your quality, then they will award a percentage. So the #1 might get 25%, #2, get 20% and #3 get 15%, et cetera, et cetera. And the rest leave. So you have to be within that 5 winners. Otherwise, you don't have business for 5 years in that particular segment. That's how all the contracts are awarded. Definitely, the local position makes a huge difference. Your local investment makes a huge difference and how you are committed to ensure that you play that long-term view, not like what I call hit and run. So most of these contracts will be awarded in, I would say, Q1, Q2 and some will be Q3, Q4, so which means that some of the business will start in effect in the second half, you will see the effect of the revenue. And some of the effect, if it's awarded Q3, Q4, you will see the effect in Q4 or Q1 2027. That's why when I call the multi-year growth for us is very evident. And that's why I said we should be able to double the company by '27, for example, we should be able to, because if you win these contracts and you start them, then you would be able to exit with a much higher run rate than previously anticipated.
Jeffrey Robertson: In light of your comments about spending across the region to support production capacity goals, do you see the pipeline or maybe the tender volume increasing from where it is today over the next several years?
Sherif Foda: Yes. I would say '25, '26 would be one of the highest tender value ever in the Middle East. And again, the way most of the clients, and I repeat, the NOC are very smart clients. So the way they do it is they want to secure their capacity and they know they take advantage of what's happening. So '25 was soft in the U.S. They tendered a lot of stuff. So they know that they're going to get a much better price and they lock this for 5 years, right? So most of the contract that we got in '25 are for 5 years, so they are into 2030. The contract that we bid and we are going to get awarded or -- and the others as well in '26 will be for 5 to 7 years. So meaning that we see -- we know where we're going to be until 2030, 2031. There is no doubt there. The backlog is there. If you get the backlog properly, you get that. And again, the client are very smart. Why wouldn't you bid. When you know that the service industry is soft, you get a better price, you get the capacity that you want and you get the work that you need, right? You don't bid when the whole market is in the upside mode. So I think the Middle East is taking full advantage, and they're smart about it. And we're very happy to be there. And I think all the peers as well, the same. So the pipeline will be solid until, I would say, 2031, 2032.
Operator: This will now conclude our question-and-answer session. I would like to turn the floor back over to Sherif for closing remarks.
Sherif Foda: Thank you very much. Thanks for everybody for listening. Very excited time. As Stefan said, '26 will be the best year ever from a growth and from numbers. So we're extremely, extremely happy to be there. Thank you so much for listening. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.